Operator: Hello everyone, and welcome to the Midwest Holdings Incorporated Fourth Quarter 2022 Results and Full Year 2022 Results. My name is Charlie, and I'll be coordinating the call today. [Operator Instructions]. I’ll now hand over to our host, Tom Bumbolow to begin. Tom, please go ahead.
Tom Bumbolow: Good morning, and welcome to Midwest Holding's fourth quarter and full year 2022 earnings call. This is Tom Bumbolow, Head of Distribution and Business Development here at Midwest. Joining me for today's presentation will be our CEO, Georgette Nicholas, as well as our President and CIO, Mike Minnich.  Yesterday evening, Midwest issued our fourth quarter and full year 2022 earnings release announcing our financial results. During today's call, we'll reference this announcement, a copy of which may be found on the Investor Relations page of our website at ir.midwestholding.com. While this call will reflect items discussed within that document, for more comprehensive information about our financial performance, we also encourage you to read through our 2022 Form 10-K, which has been filed with Securities and Exchange Commission at sec.gov.  Before we begin, I want to remind you that matters from today today's call will include forward-looking statements relating to our operating performance, financial goals and business outlook, which are based on management's current beliefs and assumptions. These forward-looking statements reflect our opinion as of the date of this call and we undertake no obligation to revise this information as a result of new developments that may occur. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those expected and described today. In addition, we are subject to a number of risks that may significantly impact our business and financial results. For a more detailed description of our risk factors, once again, please review our 2022 Form 10-K, where you will see a discussion of factors that could cause the company's actual results to differ materially from our forward-looking statements. A replay of this conference call will be available on our website under the Investor Relations section. I would also like to remind you that during the call we'll discuss some non-GAAP measures in addressing Midwest performance. You'll find the reconciliation of those historical measures to the nearest comparable GAAP measures in our earnings release and in our 2022 Form 10-K.  Now I'll turn the call over to Georgette Nicholas to share our results. 
Georgette Nicholas: Thanks, Tom, and welcome to Midwest Holdings fourth quarter and full year 2022 earnings call. We appreciate you joining for an update on the company's progress. Today, I'll cover our strategic focus, the financial results for the year, and the trends driving the business in 2023.  We're excited and pleased with the execution and progress of the business in 2022, specifically around our growth in written premium, the performance of the investment portfolio, and in strengthening our foundational capabilities. We're seeing the results from our focus and hard work on the core business of selling annuity products and investing and reinsuring those liabilities to generate returns.  For the year 2022, we achieved GAAP net income of $7.1 million compared to a net loss of $16.6 million last year. Driving this improvement was an increase in direct written premium on a statutory accounting basis at $715.8 million for the year, more of which was retained and supported the performance of the investment portfolio, which generated $35.1 million in revenue for the year compared to $15.7 million in the prior year.  This increase in revenue was offset by a loss in the market value of derivatives, which was captured in realized losses.  Improvement in earned ceding commission, amortization, and policy administration fee revenue continued as the portfolio grows, while service fee revenue or fees from asset management were consistent. We saw strong annuity direct written premiums continue in the fourth quarter, which were $206.2 million, down slightly from the third quarter of 2022, but up 97.9% compared to $104.2 million in the fourth quarter of 2021.  We see a growing fixed annuity market with new competitors and a dynamic pricing environment. Our focus is to maintain a competitive position on pricing and service in order to continue the sales momentum into 2023.  State expansion efforts remain a key priority. We're very excited to have received approval to begin writing business in Florida and Georgia. We also received product approvals in North and South Dakota. We anticipate that the addition of these states could add approximately 33% growth to our existing premium written. We have other active applications in process and we will provide updates as they progress.  Our growth year-over-year was 51.8%, strong given the market dynamics and the existing state footprint we had in place during 2022. We continue to focus on new product development with our distribution partners to accelerate growth, making key investments in technology and people.  Ceded premium was $311.3 million for 2022 or 43.5% compared with $237.4 million in 2021 or 50.3%. We have ongoing demand for many reinsurance partners and continue to work through structures and processes with them. Overall, we received $14.3 million in ceding commission fees during 2022, compared to $13.4 million in 2021. For GAAP purposes, ceded commission is deferred and earned over the life of the policies. As of December 31, 2022, there was $38 million on the balance sheet and a deferred gain on coinsurance transactions which will be recognized in revenue overtime.  Our invested asset base continues to grow and reached $1.6 billion as of December 31, 2022, up from $976 million at year end 2021. Overall, we are benefiting from opportunities in the market and higher interest rates, which is producing an overall portfolio yield of approximately 8%.  Overall, GAAP reported expenses were helped by negative interest credited due to the fall in the value of the options embedded in our liabilities and the increase in the mark-to-market value of our options allowance. The growth in expenses of approximately 30% was smaller in relation to the growth in new premium written of over 50%, as we continue to invest in the business as it scales and to accelerate the growth opportunity.  Total expenses increased from variable costs associated with increased premiums written and are related to technology, distribution, product fees and premium taxes along with expenses related to state expansion and capital initiatives.  Salaries and benefits increased with the addition, repositioning and retention of personnel to support growth and manage in a tighter labor market. We are working to realize expense efficiencies and improvement, as we increase and scale the business. Now turning to guidance for 2023, based on our current view of the business in the market. With the sales momentum that we saw in 2022, and the premium written so far in the first quarter of 2023. We expect the first quarter this year to be consistent with the fourth quarter of last year. For the full 2023 year, we anticipate premiums written to be in the range of $800 million to $850 million for the year as of now. As we begin to get Florida and Georgia moving, we would expect to see an increase in written premium over the back half of the year.  The ongoing goal is to seed on average approximately 70% to 90% of premium in a year to generate ceded commission fees and managed capital. We expect to ced approximately 55% to 65% in 2023, given the demand we're seeing from our reinsurance partners is strong. We continue to focus on expense management, while still making key investments to support growth of the business and bring efficiencies with technology. We anticipate general and administrative expenses on a management basis, a non-GAAP measure to be within approximately $30 million to $32 million for the full year of 2023.  Our goal is to remain focused on executing our core strategy to provide our clients with the insurance products needed to help them plan for tomorrow and reach their retirement goals. We work through investments and reinsurance to deliver strong results long-term for both policy holders and shareholders.  Our strategic focus remains on premiums written to capitalize on a growing market by distinguishing ourselves in products, service, indices, and technology by investing in and leveraging technology to enhance processes that improve efficiency and effectiveness, by creating and using reinsurance structures, including our captive reinsurer to mitigate risk and provide capital support. And finally, by providing management services around investing assets and to leverage core capabilities to support the administration of reinsurance vehicles.  As we move forward, our opportunity is stronger than ever, and the team at Midwest is committed to positioning the business and driving results for continued growth.  Now, we'll open it up for questions. 
Operator: [Operator Instructions] Now our first question comes from John Barnidge of Piper Sandler. John, your line is open, please go ahead. 
John Barnidge: Thank you very much for the opportunity and good morning. Now that you've gotten your approvals for the first two states that added, can you talk about the status of your applications with other states and how meaningful a contribution that could be in time, and maybe line of sight a timeline for those additional approvals? Thank you. 
Georgette Nicholas : Yes, good morning, John. Thanks for the question. I think, again, as we see state expansion takes time and effort, again, it's a process that you have to go through and certainly given our model and our use of reinsurance, there's a lot of information that goes into it. And again, sometimes it's influenced by events, but we certainly see that it can take up to a year and a half to get an application through the process and fully approved, depends again on the state and the volume.  So, we're happy to be in Florida and Georgia. There are two large states certainly from annuity perspective. And we believe, again, that where we are positioned with our distribution, that we'll see again potentially up to 33% growth off of our existing premium.  So, the other states we've kind of concentrated where our IMOs are, which is mainly again, the Southeast. We have a number of active applications that we're working through. Again, we've just filed our statutory annual results for 2022, and so that will be a piece of obviously the review that they do. So, we're hopeful that we continue to see progress as we move through the year.  And that certainly, again, could add -- it takes a few months once you're in a state, so it does take time to get agent's license and up and running. So, we would expect that, again, as states come through, it will take a period of time to get meaningful impact on production, but certainly, our goal is to get into a 48 state footprint, 49 state footprint over time. 
John Barnidge: That's very helpful. And a follow up question, if I may. Investment income the last three quarters appears to have benefited from higher other asset marks, not present in the fourth quarter. Can you talk about what we should view as run rate NII, given the additional retained investments as well? Thank you.
Georgette Nicholas: Yes, I think -- thanks John for the question. I think again, we saw a little bit of decline in investment income in the fourth quarter. Some of that was -- it's a combination of things timing of earnings on our other invested assets. Certainly, we have some things around FX and other things running through that investment income line.  So, we would expect, again, as we move forward to that investment income is somewhat consistent with what we saw in kind of the second and third quarter. We don't see any issues or concerns around any of our investments, it's really more of timing around when we are seeing some of those earnings come through. I think we feel like we've put a lot of the cash that we had in the back half of the year to work and made some investments that we think we'll see the results in 2023. And certainly, we began to use the Federal Home Loan Bank and leverage some of our ability there to again add to that investment income run rate. 
John Barnidge: Yes, thank you for the opportunity.
Georgette Nicholas: Thanks, John. Appreciate the questions. 
Operator: [Operator Instructions] At this time, we currently have no further questions, and therefore, this concludes the Q&A and today's call. Thank you for joining, you may now disconnect your lines.